Operator: Welcome to The Brink's Company's Fourth Quarter 2020 Earnings Call. Brink's issued a press release on fourth quarter results this morning. The company also filed an 8-K that includes the release and the slides that will be used in today's call. For those of you listening by phone, the release and slides are available in the Investor Relations section of the Company's website brinks.com. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. [Operator Instructions]  Now, for the Company's Safe Harbor statements. This call and the Q&A Session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences is available in today's press release and in the Company's most recent SEC filings. Information presented and discussed on this call is representative as of today only. Brink's assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink's. It is now my pleasure to introduce your host, Ed Cunningham, Vice President of Investor Relations and Corporate Communications. Mr. Cunningham, you may begin.
Ed Cunningham: Thanks, Andrew. Good morning, everyone. Joining me today are CEO, Doug Pertz; and CFO, Ron Domanico. This morning, we reported fourth quarter results on both a GAAP and a non-GAAP basis. The non-GAAP results exclude a number of items, including our Venezuela operations, the impact of Argentina's highly inflationary accounting, reorg and restructuring costs, items related to acquisitions and dispositions, costs related to an internal loss and costs related to certain accounting compliance matters. We are also providing our results on a constant currency which eliminates changes in foreign currency exchange rates from the prior year. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. Accordingly, our comments today will focus primarily on non-GAAP results. Reconciliations are provided in the press release, and the appendix to the slides we're using today and in this morning’s 8-K filing, all of which can be found on our website. I'll now turn the call over to Doug Pertz. 
Doug Pertz: Thanks, Ed. Good morning, everyone, and thanks for joining us today. Before we review our strong fourth quarter results, and increased guidance, I want to stress how proud I am of our employees around the world. Their dedication, focus on health and safety, and outstanding execution under pandemic conditions has been nothing short of remarkable.  Despite unprecedented challenges, they have continued to provide the essential high quality services that makes Brink’s the clear leader in the cash management business globally.  In response to the pandemic, our more than 76,000 global employees have been focused on our key priorities of providing essential services and ensuring that Brink’s emerges stronger on the other side of this pandemic. Our leadership and global team have also remained focused on strategic execution including the completion and integration of the large and very complex acquisition of G4S cash operations in 17 markets.  Our fourth quarter results clearly demonstrates that in addition to proactively addressing the pandemic’s impacts on our employees, our customers, our families and our business, we’ve not lost sight of our strategic priorities. By any means, our fourth quarter results I think are outstanding.  Reported revenue was up 9%, driven by sequentially improving organic revenue growth since the onset of the pandemic and the G4S acquisition. Operating profit was up 26%, reflecting a margin rate of 14.2%, an increase of 140 basis – excuse me, 180 basis points with strong support from the U.S. business which achieved a margin rate of 15%.  Adjusted EBITDA increased 25% to $194 million, which was 19% of revenue and EPS grew 39% to $1.64 per share. These results primarily reflect the impact of our 2020 cost reductions and business restructuring, which yielded significant margin improvements. These sustainable cost reductions are expected to drive continued earnings leverage in 2021 driven by organic revenue growth, partially supported by the pandemic recovery and the full year impact of the completed G4S acquisition.  Our fourth quarter results underscore the continued strength of cash as well as a payments method. Even during the pandemic, cash is used in two-thirds of global consumer transactions and 35% of U.S. in-person transactions. The strength and the resiliency of cash is reflected in the independent data from the Federal Reserve showing that during the pandemic, U.S. currency in circulation grew at a materially higher rate than the 6% comp annual growth rate that it has grown over the last 30 plus years as – and I will share with you in a moment. Our internal U.S. money processing metrics also show that cash usage increased during the pandemic.  Looking ahead, we expect continued strong organic revenue and profit improvement in 2021. At the midpoint of our guidance, we expect revenue growth of 17%, operating growth of 30% and EPS growth of 26%. Adjusted EBITDA is expected to be in a range of between $640 million and $730 million, an increase of 21% at the midpoint.  Our confidence in the short and long-term future of Brink’s is based on our team’s proven track record of strategic and operational execution, continued retail recovery from the pandemic lows, the realization of full year benefits of the G4S acquisition. This is a substantially – this is a sustainability of our cost reductions and the substantial organic growth expected in our core base business, as well as the transformational potential of our Brink’s complete digital cash solutions.  Turning now to Slide 4, which we think demonstrates the resiliency of our revenue base compared to other companies represented here in various indices. I think some of you may be surprised that Brink’s is outperforming all of these industries during the global pandemic. Clearly revenue for the hospitality and in entertainment industries with their near total reliance on consumer spending has been hit very hard by the pandemic and government mandated closings. We had many cases the equity values of some of these companies in these indexes have shown sharp increases in anticipation of a post-pandemic recovery.  Moving from the left to the right on the chart, you can see that the cash management industry, the S&P 400 Industrials, our route-based peers and traditional payment companies, all fared better than most consumer-focused companies with 2020 fourth quarter revenue at or above the 90% of 2019 levels. Our fourth quarter recovery is the strongest versus these indexes.  I just want to make a note that all of the companies reported revenues in these indices organic revenue as well as acquisitions and divestitures similar to ours. This is especially the case if you take a look at the payments indexes that include several companies with numerous acquisitions.  The far right of the slide shows the strength of our recovery on both a reported basis and a pro forma basis which includes the G4S results for both 2019 and 2020. We compare favorably on both counts with reported fourth quarter revenue up 9% versus the prior year and pro forma revenue at 92% of 2019, up from 88% in the third quarter and 78% in the second quarter.  Brink’s shared many characteristics with a route-based and industrial services companies including high levels of recurring revenue, strong customer retention, but we’ve not yet been able to achieve similar valuation multiples or share price increase since the onset as a pandemic despite the fact that we have similar revenue growth since the bottom of the pandemic versus these indices.  Taking a step further, Brink’s even outperformed the payments index with fourth quarter revenue up 9% versus 2019 for Brink’s. On a comparable basis, the payments index was down 6% versus the prior year. While some of you may have been surprised at our comparably strong revenue growth we most certainly warrant.  Slide 5 represents data that proves our longstanding assertion that cash usage is strong and growing even during the pandemic. To be clear, we fully acknowledge the increase in ecommerce and the step change in the growth on ecommerce sales during the pandemic. But if you consider the facts, there may be a different story. Even during the height of the pandemic-related shutdowns, cash as a percent of all payments remains strong and the use of cash continues to grow further despite accelerated ecommerce growth during the pandemic in-person retail sales where cash is the most popular method of payment are expected to continue to grow and remains far greater than ecommerce sales.  The growth on the left side of Page 5, Slide 5 I think is compelling. It shows the growth of ecommerce sales the continued growth in in-person retail. In 2019, according to the U.S. Census Bureau in-person retail spending accounted for about 89% of total retail sales. This was prior to the pandemic suggesting that ecommerce accounted for about the balance of the 11%. Obviously, the pandemic has accelerated ecommerce sales growth to about 14% of total sales in 2020 suggesting full year ecommerce growth this year or last year, excuse me – of about 35%. But it’s growth rate is expected to level off and even decelerate between now and the next five years through 2025 when ecommerce is expected to reach about 23% of total retail sales. This means, that in 2025, five years from now, more than 75% of retail sales will be in-store purchases.  It’s also important to remember that total retail sales are expected to reach more than $6.5 trillion in 2025. So the size of in-person retail sales in terms of total dollars will be larger in 2025 than it was before the pandemic or over $5.2 trillion even with accelerated ecommerce sales growth.  The right side of this slide shows that cash is the most popular form of in-person transactions in the U.S. at 35% of payments ahead of debit and credit cards. That survey suggests that retailers have no intentions as well of stopping acceptance of cash as a form of payment. So, even as ecommerce becomes a larger part of the payments landscape, in-person sales where cash is the preferred method of payment are also expected to grow. This data supports our belief that Brink’s is very much a growth business given our strategic focus on increasing organic revenue, grow through acquisition, and our development in digital cash management solutions targeted at a very large market of underserved or unserved customers and retailers today.  Turning to the next slide, consistent with prior quarters this year, fourth quarter internal and external cash usage levels remains elevated versus prior year. According to the Federal Reserve, cash in circulation in the U.S. is up 16% year-over-year, a material increase as I mentioned earlier over the 30 year historical compound annual growth rate of six plus percent.  Historically, history has also shown that during periods of recession and economic stimulus, the use of cash increases as a percent of payments. Such as just that we are in and possible continue to be in a period of increased cash usage. And our internal Brink’s metrics show that both the volume and value of notes flowing through our U.S. operations have increased 6% over last year’s fourth quarter even with fewer locations still being served. So despite the headlines, we believe both the historical and current data support the resiliency and persistence of cash usage. And on the right side of Slide 6, the outer ring show that between 85% and 90% of U.S. retail locations do not use any cash management industry services. They are unvended or undervended.  Unlike the market for credit and debit services that is almost fully vended shown by the inter ring, there is clearly a significant opportunity for Brink’s to penetrate the very large unvended or unvended cash payments market with our new services in the future.  Let’s now take a look at our 2021 guidance on Slide 7. Despite the pandemic’s continued impact on near-term revenue in many countries, we expect strong growth in our financial results as we move through 2021 with the revenue and profit growth continuing to accelerate, especially in the second half.  For 2021, we are targeting revenue growth of 17% at the midpoint to $4.3 billion, driven primarily by organic growth and continued revenue in our retail market recoveries. Operating profit growth of 30% at the midpoint of $495 million reflecting a margin of 11.5%, an increase of 120 basis points over last year.  Adjusted EBIT growth of 21% to $685 million at midpoint and EPS growth of 26% at midpoint to 4.75% per share. This includes – this excludes the impact of Moneygram in 2021. Well, let me restate that. Excluding the impact that was favorable in 2020 of Moneygram, the midpoint equates to a 32% increase. We expect strong revenue growth in 2021 as the pandemic subsides and economies around the world continue to reopen, especially again in the second half supported by the full year impact as well of the G4S acquisition.  Given the difficulty of predicting the timing and pace of the recovery, the low end of our guidance assumes a conservative revenue recovery rate that does not increase from our current fourth quarter rate of approximately 92% of pro forma 2019. And the midpoint of our guidance assumes a recovery rate of about 96% in the high end, a little over 100%, which will generate $730 million of EBITDA.  Our guidance also assumes improved margins and operating leverage and only includes minimal potential benefits from our strategy to digital cash management solutions.  Before I turn it over to Ron, I’d like to make a few comments about our ES&G initiative that Ron is driving. We are pleased with our fourth quarter results and for outlook for 2021 as we just discussed. But we appreciate that the way we achieve results is just as important to us and to our own investors.  As an industry leader, we recognize the importance of being stewards of the environment, employing sound governmental principles and having a positive social impact on the communities where we live and where we do business, all while continuing to drive shareholder value.  In 2020, we accelerated our efforts and evaluation of best practices in sustainability programs and recently formalized and centralized a global sustainability program at Brink’s. Our priority in 2021 is to conduct ES&G assessments with internal and external stakeholders and to determine metrics and goals that will begin to report – that we will begin to report to stakeholders. Based on our work to-date, we are encouraged by the many examples of the ES&G initiatives throughout our global organization and we’ll seek to leverage best practices across our global footprint.  Our commitment to ES&G is underscored by the fact that Ron is leading the efforts. I’ll now turn it over to him for follow-up comments on this plus our financial review. Ron? 
Ron Domanico: Thanks, Doug, and good day, everyone. I am honored and excited to lead Brink’s sustainability program reporting directly to the Brink’s Board, which is determined to retain oversight responsibility for this important work. We haven’t publicly shared our many initiatives that’s positively impacting environment or society that’s beginning to change and you’ll begin to see ESG information in our annual disclosures and on our website.  But beyond disclosure, we are committed to improve sustainability by investing in new initiatives. The bottom of this slide indicates some of the progress that we’ve made. I look forward to sharing more details about Brink’s sustainability program in the future.  Moving now to a review of our financial results and guidance. Before I go into details, please remember that we disclose acquisitions separately for the first twelve months of ownership, at which time they are mostly integrated and then, they are included in organic results. Please refer to Slide 29 in the Appendix for the timing of specific acquisitions.  Slide 9 is a snapshot of four metrics that I will review in more detail on the following slides, revenue, operating profit, adjusted EBITDA and EPS. This is a format that we’ve used repeatedly and is included here for reference. Turning to Slide 10. 2020 fourth quarter revenue in constant currency was up 13% as the pandemic-related 7% organic decline was more than offset by a 19% contribution from acquisitions. Negative ForEx reduced revenue by $32 million or 3%, driven primarily by a stronger U.S. dollar versus currencies in Latin America, partially offset by a stronger Euro. Sequentially, on average, exchange rates improved slightly during the fourth quarter. Reported revenue was $1.22 billion, up 9% versus the fourth quarter last year. Fourth quarter operating profit was up 29% in constant currency with organic growth contributing 8% and acquisitions adding 21%.  As I noted in the third quarter, the fact that we achieved organic operating profit growth despite an organic revenue decline is a testament to our proactive cost realignment. ForEx reduced OP by $4 million or minus 3%. Reported operating profit for the quarter was $145 million and the operating margin was 14.2%, up 180 BPS from the fourth quarter 2019, at the highest level, since Doug and I joined the company in 2016. Corporate expense in the fourth quarter was relatively flat to 2019 with an increase in bad debt and stock compensation accruals, offset by favorable ForEx. Remember in the fourth quarter 2019, we incurred $5 million in Argentine peso conversion cost. Our fourth quarter reported results include approximately $3 million in incremental expense for personal protective equipment, additional cleaning and other measures to keep our employees and our customers safe. Full year and segment results are included in the appendix and in our press release.  Moving to Slide 11. Fourth quarter interest expense was $26 million, up $5 million versus the same period last year as higher debt associated with the G4S acquisition was partially offset by lower variable interest rates. Tax expense in the quarter was $40 million, $12 million higher than last year primarily as a result of higher income.  Our full year effective tax rate was 31.8% up 40 BPS from last year, but down 230 BPS from our estimate in the third quarter. ETR volatility is due to changes in assumptions about our ability to utilize tax attributes at varying projected income levels. The G4S acquisition should be constructive and moderating the ETR.  Other improved by $10 million, mainly due to gains on marketable securities including our equity investment in Moneygram, partly offset by increased non-controlling interest from the G4S Cash acquisitions in Asia, a $145 million in fourth quarter 2020 operating profit was reduced by $26 million of interest and $40 million of taxes and increased by $3 million in minority interest in Other to generate $83 million of income from continuing operations.  Dividing this by $50.3 million weighted average diluted shares outstanding generated $1.64 of earnings per share, up $0.46 or plus 39% versus $1.18 in the fourth quarter 2019. Our EPS comparison was positively impacted versus 2019 by about $0.18 from gains on marketable securities and by $0.03 from the $1.1 million share repurchase in the third quarter 2020, which reduced our outstanding shares by approximately 2%.  To calculate fourth quarter 2020 adjusted EBITDA, starting with $83 million of income from continuing operations, we added depreciation and amortization of $44 million, interest expense and taxes of $66 million and non-cash share-based compensation of $10 million. We then removed the $8 million in gains on marketable securities, which resulted in a $194 million of adjusted EBITDA, up $39 million or plus 25% versus 2019.  Turning to Slide 12. There are three charts on this slide. The chart on the left shows 2020 revenue levels versus 2019 pro forma revenue including the G4S acquisitions. The chart in the middle shows 2019 and 2020 operating profit margin rates by quarter and the chart on the right shows full year OP margin rates for 2019, 2020 in the midpoint of our 2021 guidance.  Looking at the revenue chart on the left, you can see that the pandemic impact on revenue peaked in the second quarter. As Doug mentioned earlier versus 2019 pro forma, revenue in the second quarter 2020 was only 78% of the pre-pandemic prior year. Revenue recovered to 88% in the third quarter and to 92% in the fourth quarter.  Despite lockdowns in many countries that have impacted the start of 2021, the roll out of vaccines provides optimism that recovery will continue throughout this year. The chart in the center shows that historically, each year, operating profit margins increased sequentially from the first quarter through the fourth quarter.  The first quarter of each New Year drops materially from the immediately preceding fourth quarter, but typically increases from the first quarter of the prior year. The 500 plus BPS drop from the fourth quarter 2019 to the first quarter 2020 is materially impacted by the start of the pandemic.  However, the proactive global cost realignment of our business structure to address reduced revenue levels enabled us to achieve operating profit margin growth in each quarter of 2020, peaking at 14.2%. To a lesser extent, operating profit margins benefited from several government relief programs which have expired or will shortly.  Due to historic seasonality and the lockdowns in many countries, we expect that first quarter 2021 margins will be materially lower than our fourth quarter 2020 margins.  Nevertheless, the chart on the right illustrates that we expect our cost realignment leverage will drive margin expansion in 2021 and increase our full year operating profit margin approximately 120 BPS to 11.5%. This margin is at the revenue guidance midpoint of $4.3 billion and is in line with the midpoint of the margin range in the 2021 sensitivity model we shared during the third quarter call.  Advancing to Slide 13. Our guidance for 2021 assumes a revenue range of $4.1 billion to $4.5 billion. That represents a 92% to 100% plus recovery of 2019 pro forma revenue including the G4S Cash acquisition. In constant currency, the 37% targeted midpoint operating profit growth is 32% organic with an additional 5% from the G4S Cash acquisitions.  We expect this growth to be partially offset by 4x translation of approximately minus 7%. These assumptions are expected to result in reported operating profit growth of 30% to $495 million at the guidance midpoint with a margin rate of approximately 11.5%. Also at the guidance midpoint, adjusted EBITDA is expected to grow 21% to $685 million with the corresponding EBITDA margin rate expected around 15.9%.  A portion of this growth is expected to result from the recovery of pandemic-related revenue and the positive operating leverage from our cost realignment initiatives implemented last year. We also expect to see improvement from Strategy 1.0 Wider and Deeper and the continued roll out of Strategy 2.0 initiatives, which should begin generating operating profit in the second half of this year.  Moving to Slide 14. Total cash CapEx for 2020 was $119 million, which included $101 million for operating CapEx and $18 million to purchase cash devices. We acquired another $31 million of assets under financing leases.  2020 cash CapEx exceeded our third quarter target by about $19 million, as we began to see favorable fourth quarter earnings and cash flow, we released some postponed CapEx that should improve 2021 earnings and accelerate implementation of the strategic initiatives.  This year, we expect cash CapEx of about a $170 million, which includes approximately $125 million for legacy Brink’s businesses, $25 million for the acquired G4S Cash businesses, and $20 million for cash devices. We expect to acquire about $35 million of operating assets under financing leases. Total operating CapEx including assets acquired under cash and financing leases is expected to be around $185 million, which is approximately 4.5% of revenue.  It is important to note that these targets do not include significant amount related to our Strategy 2.0 initiatives. When economically feasible, we expect to source the majority of 2.0 devices under operating lease arrangements. If we are unable to secure operating leases, our cash and our financing lease CapEx targets should increase.  Turning to 2020 free cash flow on slide 15. Free cash flow is comprised of adjusted EBITDA, reduced by changes in working capital and cash paid for restructuring, interest, taxes and CapEx. Our 2020 free cash flow of $206 million exceeded the high end of our third quarter target by $71 million, primarily due to higher fourth quarter EBITDA of $31 million and better working capital performance of $48 million.  We expect that the pandemic to materially impact our ability to collect receivables. To the contrary, our amazing team in the field actually improved DSO by 1 day versus prior year, wow. Government initiatives primarily in the U.S. and France benefited 2020 free cash flow by about $45 million for payroll and other taxes that were deferred to 2021 and 2022.  Free cash flow excluding this benefit would have been $161 million resulting in an EBITDA to free cash flow conversion ratio of about 28% and as noted previously during the third quarter 2020, we used $50 million of cash on hand to repurchase and retire approximately 1.1 million shares.  Let’s move to Slide 16. Our 2021 free cash flow target range is $175 to $265 million, which reflects our adjusted EBITDA guidance range of $640 million to $730 million. We expect to use about $95 million of cash for working capital growth and restructuring. This includes around $35 million in 2020 deferred payroll and other taxes payable that I mentioned on the previous slide.  Cash taxes should be approximately $95 million and cash interest about $105 million, an increase of about $27 million due primarily to a full year of debt related to G4S acquisition. And as I discussed a few moments ago, our cash CapEx target is around $170 million, an increase of $57 million versus 2020. Our free cash flow target excluding the payment of deferred taxes mentioned earlier will be $210 million to $300 million resulting in an EBITDA to free cash conversion ratio of about 33% to 41%, up from the 28% achieved in 2020.  Advancing to Slide 17. Bars on this chart represents the source of our liquidity, the cash available on our business and the capacity in our revolving credit facility. At the top of each bar, you can see that our cash, and below the cash is our credit facility both available and drawn. Below that, our debt and financial leases.  The bar each represent a point in time at year end 2019 and 2020. At the start of 2020, we had approximately $1.2 billion in liquidity. On April 1, we closed our $590 million expansion of our term loan A with our bank group and on June 22, we issued $400 million in new five year senior unsecured notes. In 2020, we used most of those proceeds to complete approximately 90% of the G4S acquisition and the balance combined with our free cash flow increased liquidity $1.6 billion on December 31.  In February, we used $115 million in cash to complete the G4S cash acquisitions in Kuwait, Macau and Luxembourg and reduced liquidity correspondingly. Other than the 5% annual amortization of our term loan A, we have no significant debt maturities before 2024.  Our variable interest rate including the expanded term loan A is L plus 200. On June, 9 we amended our bank agreement through February of 2024 to replace the total debt leverage covenant with a secured debt leverage covenant. The 2020 max of the new covenant was 4.25 times and our December 31, 2020 secured leverage ratio was 1.8 times.  We don’t anticipate approaching our covenant limits at any time in the foreseeable future. We plan to maintain our quarterly dividend and our credit rating remains strong.  Let’s look at our debt and leverage on Slide 18. This slide illustrates our actual net debt and financial leverage at years’ end 2019 and 2020. The third bar on each side estimates our net debt and financial leverage at December 31, 2021 based on our EBITDA guidance, free cash flow target and the recent completion of the G4S acquisitions.  Our net debt at the end of 2020 was $1.9 billion. That was up over $500 million versus year end 2019 due primarily to the debt incurred to complete the G4S acquisition.  At December 31, 2020, our total leverage ratio was 3.3 times and as I just mentioned, our fully synergized secured leverage ratio was 1.8 times. At the end of 2021, given our free cash flow guidance, and the completion of the G4S acquisitions, we are estimating a net debt range of $1.85 billion to $1.94 billion, which combined with our EBITDA guidance of $640 million to $730 million is expected to reduce leverage by 0.3 to 0.8 turns to a midpoint total leverage ratio of about 2.7 turns.  With that, I’ll hand it back to Doug. 
Doug Pertz : Thanks, Ron. Let me turn to Slide 19, which summarizes our strategic plan 2 or we call SP2 which builds on our proven initiatives executed in SP1. What’s new about SP2 is the addition of our Strategy 2.0, the development and introduction of digital cash management solutions through an integrated platform of services, technology and devices leveraging our core CIT and money processing capabilities and assets.  Our original 1.0 initiative which are now called 1.0 Wider and Deeper or WD, which stands for wider and deeper obviously, originally, these initiatives were added - which added $100 million of operating profit during our SP1 timeframe in 2017 through 2019 we are heavily focused on our U.S. and Mexico improvements.  We are now expanding them to 30 plus additional countries and we are targeting another $70 million of cost reductions from our 1.0 Wider and Deeper initiatives over the 2021 and 2022 timeframe. We plan to achieve these savings through the implementation of more than 18 initiatives such as route optimization, fleet savings, investment in high speed money processing equipment, and many other proven initiatives globally.  These initiatives supported by – are supported by dedicated regional 1.0 Wider and Deeper EBM experts and they will also help to drive additional operating leverage and profitability as our revenues continue to grow.  Our 1.5 initiatives include the recent addition of the G4S Cash operations in 17 markets including very desirable cash intensive markets in the Eastern Europe and in Asia. We are confident that these new markets will support continued acceleration of organic growth and provide an expanded platform of over 50 countries to drive our new strategies.  We’ll continue to identify and evaluate additional acquisitions that drive top and bottom-line growth while enhancing free cash flow generation. I want to point though even if we did nothing more than continue to execute on Strategy 1.0, and synergies from our existing 1.5 acquisitions, we would expect to achieve close to $70 million of incremental cost savings or about 1.5% of revenue by the end of 2022, again substantially creating value for shareholders.  The top bar represents a new strategy layer that we call Brink’s Strategy 2.0. It’s designed to expand our presence in the global cash ecosystem by offering digital cash management and payment solutions. Internally, we see Strategy 2.0 is having the potential to transform our industry and drive enormous future value.  Turning to the next page, while Strategy 1.0 WD is about continuing to optimize and grow our core business with internal improvement initiatives, Strategy 2.0 is about combining our strengths to create new digital cash management solutions for retailers and financial institutions.  With 2.0, we are taking our tech-enabled solutions and strength including such things as cloud-based apps, system-wide track and trace, customer portables, and low cost safe devices and combining them with Brink’s core assets and capabilities in cash logistics and money processing to deliver complete digital cash management solutions that provides faster access to working capital and are easier to use as our other digital cash options.  By integrating these new services with our core cash operations, we are creating a platform of truly differentiated digital cash management solutions that include four distinct strategic pillars. Our 2.1 solutions offer hassle-free, tech-enabled deposit management for retailers that are easy to use with one integrator provider and it’s less expensive than processing credit and other types of digital purchases.  Our 2.2 solution extends digital cash management to large big box and enterprise retailers enabling them to automate and optimize their internal and external flow of cash from the register, to the back-office, to the bank using Brink’s as the single service provider.  With our 2.3 solutions, we provide cost-effective management of consumer-facing ATM certain devices consumer-facing devices such as ATMs and other service kiosks. These are critical consumer touchpoints and expensive operational components for many retailers and financial institutions. By outsourcing these devices, and all the related services to Brink’s, customers can reduce cost, improve their experience with their customer and most importantly, focus on their needs of their customer.  Our BPCE relationship in France is a great example of a fully outsourced financial institution managed service for a complete ATM state of approximately 11,000 ATMs, which will be coming online later this year. We believe the market for ATM managed services will be another important growth for Brink’s into the future.  And finally, our 2.4 digital payment solution integrates our cash management offerings with retailers, others – other payment methods to provide a unified solution for small and medium-sized retailers.  For example, companies like Square and many other digital payment processors are solely focused on processing non-cash payments with a solution – without a solution for cash, which is in Square's case, it's estimated that about a third of their customers use cash as a form of payment in their retailers' stores. Our 2.4 solution is designed to fill this void. Slide 21 is focused on our 2.1 and our 2.4 solutions in the strategy we just discussed. With 2.1, customers can use our mobile, cloud-based app and portal to register deposits and make change orders. They then deposit cash directly into one of our tech-enabled in-store devices, reducing the time, cost, and risk related to walking deposits to the bank or interacting with an armored car employee.  Brink's provides advanced credit on cash deposits with the next day – for the next day regardless of who the retailers' banking partner is and allowing customers to access cash quickly, just like debit and credit cards. Because Brink's monitors the retailers – the retail customers' devices in real-time, we can plan fewer trips to the store to empty that device without disrupting the store or the employees and their customers. All of these services are included in a single monthly subscription.  To-date, we've launched 2.1 solutions in four countries and sold about 3,200 subscriptions, while rollout has been slower by the – slowed by the pandemic, the initial feedback from customers has been very positive.  In the U.S., over 550 customers are using our 2.1 service, including seven Target retailers that have large store networks and are currently either under-vended or completely unvended. These are strategic account targets that have been historically underserved by the industry, walking their deposits to the bank at great risk. These accounts also typically deposit their cash at several different banks around their network, a huge source of labor cost and potentially bank fees. With 2.1, we can ensure that all deposits are settled in the customers' bank of choice.  On the lower portion of the slide, we show Strategy 2.4, which will take our 2.1 digital cash management solution to the next level by integrating our cash management services with existing debit and credit solutions to provide a seamless experience for retailers from receipt to settlement to reconciliation and billing.  2.4 will offer a single solution that handles all forms of payments with full visibility and transparency of cash movement from a single provider. With 2.4 and 2.1, retailers can finally make cash as easy and convenient as credit cards and debit cards. I'll now close with Slide 22; even during a global pandemic, we managed in 2020 to essentially preserve our pre-pandemic levels of operating profit, EBITDA and margin rates, while also accelerating our profitability, as demonstrated in the fourth quarter for stronger post-pandemic results.  And we expect substantial improvement in 2021 with strong increases in revenue, operating profit margins, EBITDA, and EPS. And remember, our guidance only includes minimal benefits related to our Strategy 2.0 initiatives, while including the cost of development and rollout. In summary, I am now more confident than ever that Brink's will emerge from the current crisis as a stronger company with substantial core cash business and profit growth opportunities, plus new strategic opportunities, as well.  This confidence is supported by a proven global management team, a strong balance sheet, ample liquidity, our expected global – our expanded global footprint, our realigned cost structure and a compelling strategic plan to expand our presence in the cash ecosystem with digital solutions. With that, I'll now turn it back to Drew and open up for questions.
Operator: [Operator Instructions] The first question comes from Tobey Sommer of Truist Securities. Please go ahead. 
Tobey Sommer: Thank you. I was wondering if you could give us some color on progress in Brink’s Completes and maybe as part of your answer, could you delineate it between new customers and potential migrations from the CompuSafe towards the Brink’s Complete? Thank you. 
Doug Pertz : Thanks, Tobey and good morning. Thanks for your question. As we laid out, you can see that there is a substantial number of customers over 500, 550 I think we said on the chart and that is well as a target number of pilot customers or customers that are these large opportunity customers. Our strategy is to go after both existing CIT customers and convert to what we think is better value for them and frankly, for us down the road as well, as we’ve suggested with the benefits.  And that’s why you see such a high number of customers. In other words, we think 500 plus customers, 550 customers is a fair number of customers which means it’s converting existing customers over. So, one of our targets is to convert CIT.  And the second big focus is to be able to prove to with pilots customers that either are relatively unvended, in other words only have a small portion of their total cash management needs serve us today by us or the industry or totally unvended and walk everything to the bank, their cash to the bank and that’s represented by those seven plus large strategic accounts then in general have more than a thousand plus locations each and are now in the process of just starting to roll out test cases with them.  So, that’s our real focus. And as I said, it’s been slowed a little bit by the pandemic, which is unfortunate, but we are now starting to see the focus on both of those things that we think will give us a base going forward. 
Tobey Sommer: And then, as a follow-up, could I ask, how the development is internally of the appropriate sales channels that you feel you will need to sell the products into new and existing customers? Thanks. 
Doug Pertz : Well, that’s where part of the difference is between 2.1 and 2.4. 2.1 is primarily selling it through existing sales channels. In other words, the way that we go to market today is our 2.1 Brink’s Complete strategy. We will be looking at expanding those as part of the 2.4 strategy expanding those go to market strategies and therefore the channels as part of our next level of rolling that out.  Our biggest and our first focus has been to again, go to existing CIT customers, existing customers that we service or are serviced by our competition today, as well as the underserved targets that we are focusing on.  So, you’ll see more of that, Tobey, as we go throughout the latter part of this year and we’ve given a glimpse of that with the 2.4. 
Tobey Sommer: I appreciate it.
Doug Pertz : Thanks, Tobey. 
Operator: The next question comes from Sam England of Berenberg. Please go ahead. 
Sam England : Hi guys. Thanks for taking the questions. And the first one, you are guiding towards another 200 basis points of increase in the operating margin in 2021. I just wonder how much of that is expected to be driven by operating leverage on a revenue recovery versus further restructuring and cost saving?
Doug Pertz : Well, if you take a look, Sam, at our guidance and the range of the revenue, you can see that our margin percentage at various revenue levels goes up. And that’s really the leverage. So at the lower end of the range, we are talking about 10.6% or so. At the midpoint we are talking - I am sorry, at 11%, excuse me and at the midpoint 11.5%.  So you can see the leverage as it goes back up when you get to approximately put this a little over 100% to 2019, we are talking about a 12 plus percent margin. And that’s what the 150 basis points – 140 plus basis points higher of a 2019 base. So it’s a combination of both improved margin step change, improvement in the margin percentage along the curve plus the – or the leverage on top of that. So we expect both.  Not all revenue recovery is the same. FX will not present if it’s a recovery just because of FX rate changes and which – this is a constant currency guidance. That’s not the same as organic. Organic flow through gives us the best improvement in leverage in margins. So, we expect both and that’s where we are showing it in our numbers. Be glad to talk a bit more about them in detail. 
Sam England : Okay. Great. Thanks. And then, one sort of longer term question is, well, can you talk a bit about the opportunity to follow the strategy initiatives across the acquired G4S businesses. Now you got a bit of a better chance to take a look at those acquisitions and are there any surprises arising from, now you’ve completed those deals and how to look at the businesses? 
Doug Pertz : Yes, I think, Tobey, we’ve been – excuse me, Sam, we’ve been pleasantly surprised about the strength of the management teams, the desire to be focused primarily on the cash business which we clearly are and the excitement around that in helping develop strategies that will be helping to roll out our new strategies and provide a better solution for customers going forward.  So, I think we’ve got a great platform. The addition of 14 new locations – new markets, 17 in total, but we had some overlap in those on top of those that we already had give us those 50 plus new markets that we can roll this out as we start gaining steam in terms of that roll out process. So, I think it’s very good.  And I think what you saw during this year, even during the pandemic that the G4S management team is similar to the, if you will, legacy Brink’s teams, we are very focused on our key priorities, the primary one of those was obviously making sure that our employees are safe and healthy, but our third priority was to assure that we were stronger on the other side through the restructurings, the sustainable fixed cost reductions, which gave us a very strong third and fourth quarter.  Fourth quarter results are a good example of that. And it was very encouraging to see the G4S teams really jump onboard there as well, willing to do restructurings, willing to assure that we are focused for that in the future and that bodes well for a combined business that’s not going to be a G4S or a Brink’s in the future. It’s going to be combined, very strong. 
Sam England : Okay. Great. Thank you. 
Doug Pertz : Yes. 
Operator: [Operator Instructions] The next question comes from Jeff Kessler of Imperial Capital. Please go ahead. 
Jeff Kessler : Thank you and congrats on the quarter and also the guidance looks good. The increase – the recently increasing prices in balance and silver, I am wondering if that has had any effect yet on your high end worldwide global business?
Doug Pertz : Well, Jeff, I don’t really know precisely about whether we can tie it to that. But I think what we will see this year, the depressed business or the lower business that we saw, particularly in the diamond jewelry business on a global basis during the pandemic has started to come back and I think we’ll come back pretty back nicely in 2021 especially in the second half of next year.  We saw a very strong business in certain key precious metals, particularly gold last year. That will continue we think at least for the first part of this year depending on where the ups and downs of the business are.  And so, that should be good. We think that actually the shipment of cash slowed down some last year externally outside of the U.S. as we reported a significant increase in cash in circulation in the U.S. but actually shipments externally outside the U.S. Internationally, we are down some. We think that will start to pick up yet again.  So I think there is going to be a combination of things and I think what you are seeing and suggesting that’s one indication that our diamond jewelry and part of the other precious metals business other than just gold will continue to pick up this year and we’ll see, I think strong improvement in demand in those portions of our BGS business and our combined melt business that is over a strong global business. 
Jeff Kessler : Secondly, it’s interesting that you are looking at your competition who did not have as good a fourth quarter performance as you nor have talked about 2021 in as brighter terms as you and looking out at what they might want to get their hands on, they’ve announced this morning or yesterday afternoon basically the closing of the elections so to speak, of the G4S acquisition by Allied Universal.  And Allied Universal is primarily a – it’s a card and somewhat of – with some electronic security attached to it, but it has no real DNA in cash management. That cash management business that cash recycling business is still there.  I am not saying that you are going to issue and get it, but obviously you may have some completion who would that business or have you thought about strategically what you would want to do or would not want to do as they begin to integrate that begin to – Allied begins to integrate that – the G4S business into their own business? 
Doug Pertz : Well, I think, Jeff, a couple things on that. We actually didn’t say anything in our prepared remarks or in our script or in our slides about competition. So, I am not sure we were comparing those your comparisons. 
Jeff Kessler : Those – that’s me. 
Doug Pertz : Okay. So I just want to be clear on that we are not comparing what we are doing and how we are going. We are very comfortable and excited about the future based on the cost reductions we have made and then we do think we had great third quarter, fourth quarter and that fourth quarter gives us the basis for a step change in our cost structure that we think is sustainable going forward.  And we think on top of that, we will continue to improve like we said in our wider deeper with additional cost reductions going forward on top of that and we’ll continue to get the leverage as we talked about earlier with Sam and other question with leverage as revenue recovers to the 2019 levels and beyond.  Now, with that said, part of our 2.0 strategy, layering on top of this that’s heavily is not in our numbers. It is around some of the things that you are now talking about. We have a plan part of what we call 2.2 is related to recyclers and the larger – how do we manage the complete managed services, solution for enterprise-wide customers that have a lot of cash going through big box stores and so forth. And so, that is part of our strategy.  We are going to be looking at both organic and external ways to do that as we always do. There are several pieces that are left in the G4S group that are cash related including the UK cash business, South African cash business, as well as the Retail Cash Solutions business in the U.S. And we’ll be taking a look at that and see what the – what might be appropriate if something becomes available.  But we certainly have a strategy on that, which is part of our 2.0 and we are going to continue to drive that just as we are doing with our 2.3 strategy as well. 
Jeff Kessler : Great. Thank you very much. 
Ron Domanico : Thank you. 
Doug Pertz : Thanks, Jeff. 
Operator: This concludes our Question-And-Answer Session and the Brink’s Company’s fourth quarter 2020 earnings call. Thank you for attending today’s presentation. You may now disconnect.